Operator: Good day, and welcome to the CSG Systems International Fourth Quarter and Full Year 2015 Earnings Announcements Conference Call. Today's call is being recorded. All participants are in listen-only. A question-and-answer session will follow today's presentation, and instructions will be provided at that time. At this time, I would like to turn the conference over to Liz Bauer. Please go ahead.
Liz Bauer: Thank you, Ann, and thanks to everyone for joining us. Today's discussion will contain a number of forward-looking statements. These will include, but are not limited to, statements regarding our projected financial results, our ability to meet our client's needs through our products, services and performance and our ability to successfully convert the backlog of customer accounts onto our solutions in a timely manner. While these statements reflect our best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release any revision to these forward-looking statements in light of new or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release, as well as our most recently filed 10-K and 10-Q, which are all available in the Investor Relations section of our Web site. Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We believe that these non-GAAP financial measures, when reviewed in conjunction with our GAAP financial measures, provide investors with greater transparency to the information used by our management team in our financial and operational decision making. For more information regarding our use of non-GAAP financial measures, we refer you to today's earnings release and non-GAAP reconciliation tables on our Web site, which will also be furnished to the SEC on Form 8-K. With me today on the phone are Bret Griess, our Chief Executive Officer; and Randy Wiese, our Chief Financial Officer. With that, I'd now like to turn the call over to Bret.
Bret Griess: Thank you, Liz, and thank you all for joining us today. After 19 years of serving in various roles within CSG, I am honored to be hosting my first conference call as a CEO of this great company. Today, I'm going to spend the majority of the time outlining what you can expect from me and my management team in both the short and long-term moving forward. But first, let me cover our results for both the fourth quarter and full year 2015. I'm pleased to report that we executed well in a challenging environment. Our results fell in line with our expectations. The fourth quarter revenues of $197 million, and non-GAAP earnings per share of $0.77, full year revenues were $752 million and non-GAAP earnings per share came in at the high end of our guidance at $2.62. Let me share some of the key accomplishments that helped us to drive these results. This past quarter, we helped one of the world's largest entertainment brands launching new membership base, streaming service in the United Kingdom with our award winning Ascendon cloud based platform. This service allowed consumers to watch, stream or download an expensive digital library of movies and TV episodes in up to five different languages as well as stream and download songs and apps. Our Ascendon cloud based solution provides the content management and monetization solutions, enabling the client to dynamically drive targeted offers to specific consumers. In addition to this, this past quarter we have Hutchison Macau a leading mobile services provider launch their 4G services using our highly scalable single view solution. Our solution enables Hutch Macau to take advantage of the high bandwidth capabilities of its new LTE network by providing a wide range of innovative offerings around the mobile beta and location based roaming services. Most impressive about this project was that we were able get our solution from nothing to up in the production in less than 120 days as a result of the strong team work between us and the client, a phenomenal effort in our space and in this part of the business. As these examples demonstrate the broader global communications industry is in the early stages of the transformation in helping service providers launch new ground breaking services, whether that be 4G services, new streaming services, machine to machine services or the Internet of things, they are all critical for this industry transformation and I'm confident that we've the solutions and the people to enable our clients to be successful in this dynamic and changing landscape. In looking at our 2015 results there is another metric, that is worthy of calling out. After five years of falling below our target operating margins, we generated 20% operating margins for the full year 2015 which is at the high end of our target range of 18% to 20%. We accomplished these strong results through a number of activities which included, making improvements in the cost structure of both our domestic and international operations. Migrating approximately 2 million new subscriber accounts on to our private cloud based solution in North America, taking in more critical eyes towards evaluating where we place our investment dollars and the continuing maturation of our international managed services and content monetization offerings. I'm very pleased with how our teams have focused on driving value for our shareholders and our clients. So, what should you expect from me and my leadership team going forward? Over the past several months we have conducted a comprehensive review of the company to identify areas where we can improve our performance with our clients, our employees and our shareholders. This has included gathering input from clients, competitors, industry and internal experts, conducting a thorough analysis of our historic financials, total shareholder return performance and our technology roadmap as well as stress testing our assumptions about the industry and competitive landscape, while I'm in the process of finalizing my go forward plan as a result of this analysis, I can say that CSG's position in this ever changing ecosystem, is as compelling today as ever if not more so. First, we have unrivaled domain expertise in the cable and video markets. Second, we work with some of the largest and most innovative communication service providers in the world. Third, we have proven technology and a well earned reputation for operating our solutions really well. Fourth, we have a financially sound company. And finally and most important, we have incredibly skilled employees who live our values in achieving our mission every day. Yet I'm also confident that we've not yet realized our full potential and that we will be even more successful as we go forward. After this analysis, I'm convinced that we have the right strategy in place. However, I believe that we need to make some adjustments in order to get there. Over the past several years our revenues have remained relatively flat, while the markets we serve is growing in the low to mid single-digits. We're pleased with the progress we have made on the bottom line, but the challenges we're facing growing our revenue is something we need to change. I'm focused on what we need to do different, to drive better top line results while still generating solid profits. With our leadership position in the cabling and emerging OTT space, our cloud based solutions in our deep operational expertise, we should be growing in line, if not growing faster than the markets we serve. In short, we have a solid and steady launching pad to help us to accomplish even more. In order to drive stronger results we will be focused on five key items. First, we will align our organization to intensify our focus on growing our client relationships, this means moving decision making closer to our clients as well as empowering our employees to do what is right for both our clients and our company and then holding them accountable for the results. Second, we will invest to win, where we see a true point of differentiation that will enable us to grow. For us that means, accelerating the investment in our cloud based Ascendon solution to get ahead of the market versus waiting for the market to mature. Third, we will take in more focused and targeted approach to growing our cable and satellite position globally. And fourth we will continue to improve the performance of our international business. Historically and today, the majority of our relationships internationally are more short-term in nature tied to an implementation of the software solution. We need to continue to leverage our domain expertise in running the large scale operations to create longer term, recurring relationships that result in a trusted and valued partnership with our clients. And finally we need to continue to pursue over the top providers, in a highly targeted manner with our Ascendon cloud based solution some of the world’s most trusted content entertainment companies that turn to CSG to help them drive a more personalized and immersive customer experience anywhere, any time and on any devices. We need to leverage our first mover advantage in this space and continue to target and work with those companies, who have the stunning power to grow sustainable businesses over the long haul. To summarize, we are going to prioritize our efforts and our investments. We are going to align to grow our leadership position in key markets and we are growing to adjust how we execute, so that we can realize our full potential. I'm confident that these actions will allow us to continue to deliver in high quality solutions and services that are client expect of us and provide us with a catalyst for growth on both the top and bottom line. Currently, I'm focused on aligning new organization around our strategy, meeting with our customers around the world to hear what they like and don't like about doing business with CSG and putting together the leadership team and organizational structure that will expand our leadership position in the marketplace. We've done a great job of growing the bottom line but as I said earlier we have some work to do to better position us for revenue growth in the future. As a result our financial expectations for 2016 are relatively consistent with our 2015 results. Before I turn it over to Randy to go through our results in more detail, I'll close with where we started. I'm honored and quite frankly just plainly jazzed to lead this company at this exciting time. We've unrivaled domain expertise in the cable and video markets, we work with some of the largest and most innovative communication service providers in the world. We have a proven technology and a solid reputation for operating our solutions really well. Our award winning Ascendon platform is a game changer for the industry. We've a financially sound company. As those of you on this call know, we kick off lots of cash and we take a balanced approach in allocating our cash to our shareholders and investments back into the business and most important and in constant all of the passion, dedication and talent displayed by our employees to solve complex challenges and to help our clients to be successful every day. Thank you for your continued interest in our company. I truly believe that the best is yet to come and look forward to updating you on our progress along the way. With that, I'll turn the call over to Randy to go through our results in more detail and outline our expectations for 2016.
Randy Wiese: Thank you, Bret and welcome to all of you on the call today to discuss our financial results for the fourth quarter and full year of 2015, as well as our outlook for 2016. We are pleased with the continued performance improvements we have made in our business and the expanded reach of our solutions in the markets we serve which are both reflected in our strong operating results for 2015, especially in light of the challenging business environment. Now I'd like to walk you through our financial results in more detail. Total revenues for the fourth quarter were $197 million, up 2% from the same period last year, which includes a negative impact of $4 million from foreign currency movements. Sequentially, revenues for the quarter increased approximately 6%. Total revenues for 2015 were $753 million, relatively unchanged from the prior year, without the negative impact of $15 million from foreign currency movements, full year revenues on a constant currency basis were up 2%. This growth is primarily from the 3% increase in our processing revenues for the year which was driven largely by the migration of new customer accounts onto our cloud solutions and the continued growth of our international managed services offering. This strength helped offset some of the challenges we experienced this year in our software and services revenues. Moving on, our non-GAAP operating income for the fourth quarter was $44 million with a margin of 22%. And was $150 million for the full year with a margin of 20%. GAAP operating income for the quarter was $34 million or a margin of 17%. It was $113 million for the full year or a margin of 15%. Our non-GAAP operating margin for full year puts us at the top of our long-term target range of 18% to 20%. As Bret previously touched on we accomplished this mainly as a result of the scaled benefits from increasing the number of customer accounts and clients under various revenue management and content monetization solutions. The benefits of maturity in our business processes related to our international managed services offering. Be aligned without investments with our revenue opportunities, including the divestiture of our Invotas cyber business and finally several cost structure improvements including new terms with several of our key technology partners. Moving on, for the fourth quarter, our non-GAAP adjusted EBITDA was $51 million, or 26% of total revenues and $179 million for the full year or 24% of our total revenues. Our non-GAAP effective income tax rate for the year was 37%, which is slightly better than our previous expectations. Non-GAAP EPS for the fourth quarter was $0.77, which compares to $0.61 for the same period last year. Non-GAAP EPS for the full year was $2.62, which exceeded our expectations for the year and compares to $2.12 last year. This represents year-over-year non-GAAP EPS growth of over 20% which is primarily driven by the improvements in our operating performance that I mentioned earlier. GAAP EPS for the fourth quarter was $0.70 and $1.87 for the year. Now on to our balance sheet and cash flows. Overall, we ended the quarter with $241 million of cash and short-term investments, an increase of $41 million from the third quarter, driven mainly by our strong operating cash flows. We generated $53 million of cash flow from operations for the quarter, and free cash flow of $51 million. For the full year, we generated $137 million of cash flow from operations and free cash flow of $118 million. We substantially beat the top end of our previous full year operating and free cash flow guidance mainly due to the several unexpected timing benefits in our working capital that occurred at the end of the year and lower capital expenditures. Next, I'd like to update you on the progress we've made on our capital allocation strategy during 2015 and our planned actions going forward. For 2015, our cash dividends were $23 million and we repurchased 57 million of stock of which $50 million was done through our accelerated stock repurchase plan, our ASR plan executed in March. Our planned capital allocation activities for 2016 are as follows. First, our Board approved a 6% increase in our first quarter cash dividend which will increase our annual dividend in 2016 from our current level of $0.70 per share to $0.74 per share. At this level, we would expect to pay dividends of around $24 million for 2016. Second, we intend to buyback another $50 million of shares in 2016 through the use of a similar ASR plan that was used in 2015. This marks the second year out of our planned three year of annual share repurchases of $50 million per year. The strength of our business model which includes highly recurring annual revenues and profitable operations resulting in predictable cash flows allowed us to continue on our capital allocation strategy while still having sufficient capital to invest back into the business. Let's move onto our discussion of 2016 guidance, but before I provide you with the details I want to give you some color around our expected financial performance for 2016. We have made great progress in improving the profitability of our business over the last several years. These successes have allowed us to drive improved bottom line results with best-in-class non-GAAP operating margin this past year and allowed us to deliver over 20% non-GAAP EPS growth in 2015. As Bret mentioned earlier, we are intensely focused on aligning our organization and our investments to capitalize on the opportunities that the highly dynamic and evolving global communication market presents to us. Despite the tough business environment and the challenges we're -- and the changes we're implementing in 2016, we expect to maintain top line revenue consistent with that of 2015. In addition, we expect to continue to deliver a high level of profitabilities and cash flows, a hallmark of our business again this year. And we remain very excited about the long term growth opportunities we see in front of us. With that backdrop our 2016 guidance is as follows. We expect revenues of $735 million to $760 million. We expect to maintain our full year non-GAAP operating margin at the high end of our targeted range of approximately 20%. This implies continued strong operating results benefiting from the sustainability of improvements we made in our business over the last several years while also investing in our business for future growth. We expect our full year 2016 non-GAAP effective income tax rate to remain consistent with 2015’s rate of approximately 37%. Moving on, our 2016 non-EPS guidance range is $2.59 to $2.69, we expect non-GAAP adjusted EBITDA to be in the range of $177 million to $182 million or 24% of expected total revenues. We expect cash flows from operations to fall within the range of $110 million to $130 million for the year. We also expect our capital expenditures to be around $20 million, which is relatively consistent with our 2015 level. Overall, we're very pleased with the continued progress we're making to drive bottom-line results in a challenging business environment. We are highly focused on furthering our leadership position in the cable and video markets, improving the financial performance of our international business, enabling digital services for communication service providers around the world and securing long-term relationships with our clients through managed services engagement. Our continued execution on these opportunities combined with prudent expense management and effective balance between management of our capital structure and investments in the future of our business, will enable us to continue to deliver strong operating results and cash flows for our shareholders. With that, I'll turn it over to the operator for questions.
Operator: Thank you so much. [Operator Instructions] We will take our first question from Howard Smith from First Analysis.
Howard Smith: Yes, good afternoon, Bret, nice first quarter, nice first conference call. I thank you for some laying some of your strategic initiatives, my first question has to do with the comment made by one of your competitors last night when they were announcing earnings regarding any uptick in interest in some of the MSOs, Charter, Time Warner, Comcast and looking at updating in earnest their BSS and other systems and I am just wondering if you're having similar conversations and any light you can shed on that?
Bret Griess: Thanks Howard, it's great to hear from you. Yes, there is a lot excitement in this space right now. There has been for some time and we continue to remain extremely focused on it. We have been in deep conversations with many customers about their platforms and the future for years and so it is an area that we see an exciting opportunity for the future as we move forward as we continue to build upon the platform of this solid company and solid business model we have. So, yes, we're in conversations with many of our customers and -- it's hard to gauge the -- we're up this quarter, we're down this quarter, we're excited this quarter not that quarter, I'd say that we have a slow steady consistent desire to support the customers in this market and we'll continue focus on delivering it and with our new award winning Ascendon platform, we're confident, we'll be able to compete to help our customers to help with their business.
Howard Smith: Okay, and following up on that, you mentioned a couple of times in your prepared remarks about the importance of the Ascendon platform. I don't think that's a division. It is more of a product thing, but are there any metrics you can give out or things that we can track the progress on in terms of revenues, number of customers, things like that? That we should be focused on to kind of measure your progress there?
Bret Griess: At this point, we don't report it at that level and I would tell Randy and Liz to hit me over the head if I say anything inappropriate along those lines, we don't at this point, I can tell you we have it in production at client sites and we in addition to that what's happening as we get more and more positive feedback as it goes and not only that the areas of opportunity to improve as it progresses forward. So it is a continuation of our current platform in this technology that we got with our international acquisition and our solution acquisition years ago that are all coming together to be an incredibly robust platform for the future of this consolidating market space in the video spot, so, we'll share more as we go forward into the future with it, but right now it's in the early stages, I'd say innings two of a baseball game. We're just getting going.
Howard Smith: Okay, one quick numbers question for Randy and then I'll leave the floor. On the maintenance revenue this quarter had a little bit of a spike. I usually think of maybe that is associated with software spikes, but it seemed particularly strong. Was there anything one-time or not sustainable in that maintenance line?
Randy Wiese: Yes Howard usually at the end of the year there are some stranglers on maintenance, of kind of the Q3-Q4 timeframe you may see some shifting between quarters and we really try to get those all nailed down before the end of the fiscal year, so what you have is a little bit of ketchup in the fourth quarter so that's not a sustainable number into Q1.
Operator: [Operator Instructions] We'll go next to Tom Roderick with Stifel.
Tom Roderick: Good afternoon, Bret. Welcome aboard full-time to your new role here, so congratulations on that.
Bret Griess: Thanks, Tom.
Tom Roderick: You bet. I wanted to just dig a little further on some of the initiatives for growth and maybe to work backwards on that as you are kind of guiding both profitability and revenues in the same range for '16 as you were in '15. Could you give us just a little bit more directional guidance as to how you think about the puts and takes on your cable MSO processing business versus your software business? Are you thinking both are flat? Are you thinking one grows and one declines, so I would love to hear that and then I have a follow-up just thinking about profitability as well?
Bret Griess: Yes I'll let Randy get into the specifics on it after I give a few words here. And one of them is just the fact that in each of the markets, be it the cable or the global marketplace from a telco space and the other markets that we serve, we do believe that we can grow and expand them as we move forward. Those investments that we're making in the products and then realigning the organization and refocusing the organization which will position us for many of those takes but to do that there is some puts that have to happen and all along the line which is the things that you hear about as far as a laser focus on our investments which means there are some time to do some things like you've all seen in the press about Invotas and investments we've made in the past that are now in the hands of folks that are better suited to drive those forward which allows us some time here to get those half off of our book and work through the process of focusing ourselves in our true markets that we serve and we believe that cable market has the opportunity to grow globally as does the telco interior space as we move forward. So that the numbers and puts and takes is what leads to the steady eddy for 2016 but positions us phenomenally well to take more wins and grow that top line in 2017 and beyond. Randy, anything else you’d add on that or?
Randy Weise: Yes I think, I would add Bret, is that many of the things that we've talked about in the past as key initiatives actually we saw pretty good growth in 2015 and expect some additional in 2016 and Tom we will just point you really to the processing line of our income statement if you could see for the fourth quarter, quarter over quarter we actually grew that number almost 4% which reflects the additional accounts we've been converting on for Comcast over the last 2 years, also it shows, embedded in it all it's not a big number, there's about 50% growth in the Ascendon platform and as we heard from last caller, it's still not meaningful but it's growing substantially and it is adding to the top line to or the processing growth. But also, the managed services we've made some good progress on that that grew about 30% this year again it is a small numbers, so you don't -- the 30% doesn’t move the needle a lot but we're seeing a lot of progress on the things we've been talking about and actually did drive top line revenue on the processing side. Unfortunately, we'll see some good growth in 2016 but unfortunately you will still see some pressure points from both foreign currency and then some of the pressure points we've seen on our software and services as we continue to transform that to more of a recurring revenue model. So it is kind of a mixed bag what it is what I would say on the revenues. Some good success on many of the initiatives Bret talked about, but we still got some headwinds from a tough business environment, foreign currency and then just a continued transformation of that software service to recurring revenue model. So there is some good news bad news I guess in ’15 and ’16.
Tom Roderick: And Randy, in the context of some things that you can't control, particularly the pending merger of two major customers, when you think about the processing line for 2016, what have you done within the context of your guidance to protect or reflect what would likely be some level of a re-pricing event, should that merger goes through? Is that fully contemplated inside your guidance and is that one of the pressure points?
Randy Wiese: It is, it is contemplated in our guidance and as you know, how the way our business model works is as Charter combines with Time Warner, they’d essentially have more buying power because of just the more number of subs so they get a better price point, so that is built into our top line revenues. Also we have a little bit built in there for some foreign currency headwinds that we anticipate, so those are both reflected in the range, Tom.
Tom Roderick: And then with Invotas, I noted that they were fully acquired the other night by I guess it is FireEye. And you guys had, I guess divested that in September of ’15, but when you are giving your guidance for this year, how much sort of lost revenue year on year would you encourage us to think about being attributed to Invotas?
Randy Wiese: It's absolutely insignificant Tom, it was a pretty much in a startup phase with us and we had secured a very minimal number of contracts, so it's very-very insignificant.
Bret Griess: But it's holistically contemplated, so what you see in our guidance is what is completely there.
Tom Roderick: And so last question from me is, if we think about revenues being flat year on year, with I mean really excellent operating performance in the last couple of quarters, you've seen operating margins in the 21.5%-22% range and that's up 500 basis points plus year on year, it would sort of reflect to get to the EPS guide I think, that the levels are going to come down from here. So I guess that kind of matches, Bret, with your commentary that there are places to invest and ways to build for growth. Where should we think about you investing in this year? And what is the right level of investment on an operational or operating expense type of basis?
Randy Wiese: Tom, that is one of those areas that really does get me out of bed in the morning in how exciting this business model is because even with the things that we talk about the headwinds, the challenges, the this that and the other things, this is a phenomenally solid business on steady ground and that solid business on steady ground and our model of believing that 18% to 20% margin is the right place to go that when we see these opportunities where you see the last quarter and the last two quarters and how well we do, what that really is doing is it just feeding the animal to better position us to go after more in the process. So that 18% to 20% margin is what we believe to be a very healthy margin and the fact that it's such a solid business on steady ground with long-term agreements and commitments in this new Ascendon product and this just really positions us well as we go into this transformational market.
Operator: [Operator Instructions] We will go back to Tom Roderick with Stifel. [Multiple Speakers]
Tom Roderick: I noted that you guys in the press release said you've converted 2 million subs in the year 2016 and I was wondering if you can just refresh us as to what that brings the aggregate total on the conversion to and how many you have left there, does that sort of match in line with your prior expectations, are you ahead of pace, the margins and processing revenues just sort of suggest that you have done maybe even a better job than expected this year, but wondering how that has matched your prior expectations and how fast you expect the remaining components to come on here?
Bret Griess: You know the reality of it is they are talk about puts and takes, there is a lot of back and forth with the customer and with us, but it's pretty close to being online with where we intended to be and I can tell you the most probably some of the busiest folks at CSG right now are the conversions folks that are working with the customer, but there are a lot of factors that come to play in that. Randy from the specifics of the numbers can you just share where we're at along those lines, it's really a great project for us and progressing and more the commitment of the customer in the market converting onto the platform?
Randy Wiese: Yes, Bret, we've done about 4 million in the first 10 years. Tom starting in the fourth quarter of 2014, so we've done a little over 2 in the 2014 and just a little less than 2 this year, so we're at the 4 million and that’s about 40% of the subs that we expect to come on so there's still about 6 million subs out there and we were actively planning for additional subs in 2016 probably from a consumers standpoint we will get at least 1 million but it could be as high as 2 million. So another consistent year of conversions anticipated in 2016 and there we will look to finish those up over the next couple of years.
Tom Roderick: And Randy relative to warrants that they had just that -- one of those have been triggered or will be triggered as you've gone through those first four and expect to be up 5 or 6 by the end of '16?
Randy Weise: Yes I think that right now they've earned about 1 million of those, they should earn about close to the 1.5 this year, if we complete, we get close to 6, I think the strike point is 5.5 million cumulative subs converted so they can get to essentially 75% of those and then the last tranche is really when they bring the balance of the subs to us.
Tom Roderick: Okay, good.
Randy Weise: Tom, one thing to notice, is just as you think about modeling because that's kind of we're going with this is that similar to the last 2 years the conversions typically are quite heavy in the third and the fourth quarter so that happen in the backside of the year.
Tom Roderick: Perfect. Okay. And Bret just a quick follow up for you on that I mean I know you've been watching those conversions closely and how you guys have managed the conversions? What do you think you've learned from the process of it to the extent that there's an opportunity to do more following the Time Warner Charter merger itself? Do you think there is replicablility in what you've learned in how to convert the Comcast up and do you think that operating performance could continue to sort of roll over as that opportunity presents itself?
Bret Griess: Absolutely, learned from every one of them as we go through it, I hate to get to a point where I ever say it's a wash rinse and repeat. But we're not too far off from that part of the process, we learned and not only did we learn how to do them but them how to automate them in a faster timeframe with higher quality as we go through that cycle. We're one of the few companies in this industry period that has had a dedicated conversions team for over 25 years and what that has done is it allowed us to understand the business not only of our technology but of the competitive technologies and to actually automate a lot of those migrations as we go through, when you asked your question about the warrants that was the first thought that hit my heart because I want them to get those warrants, because our interests are directly aligned and the quicker we can get them over the quicker we can help solve for their business issues as we move forward. And the lessons we've learned not only can we, we plan to leverage those as we move forward with ACP and more importantly our Ascendon platform moving folks on to that. It's a beautiful model of great business model that kicks off cash and the technology and we can continue to grow that.
Operator: Thanks. And with no further questions in the queue, I'd like to turn the call back over to Bret Griess with any additional or closing remarks.
Bret Griess: Well, thank you to everybody who took the time to get on the call and listen today. As I said I'm jazzed and honored to have my first call in this situation and scenario and we continue to have a phenomenally solid business on steady ground, but it's positioned as well to drive into the future and I want to thank our employees that are on the call or happen to hear it later for all you're doing and putting into it to allow us to be successful in the marketplace. So thank you and have a good quarter everyone.